Operator: Good morning. I would now like to turn the meeting over to Mr. Jamie Porter, Chief Financial Officer. Please go ahead.
Jamie Porter: Thank you, operator, and thanks, everyone, for attending Alamos’s Third Quarter 2019 Conference Call. In addition to myself, we have on the line today both John McCluskey, President and CEO; and Peter MacPhail, Vice President and Chief Operating Officer. We will be referring to a presentation during the conference call that is available through the webcast and on our website. I’d also like to remind everyone that our presentation will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary note included in the presentation, news release and MD&A, as well as the risk factors set out in our Annual Information Form. Technical information in this presentation has been reviewed and approved by Chris Bostwick our Vice president of Technical Services and a qualified person. Also, please bear in mind that all of the dollar amounts mentioned in this conference call are in US dollars unless otherwise noted. Now I'll turn it over to John to provide you with an overview.
John McCluskey: Thank you, Jamie. Given part of another strong quarter both operationally and financially driven by a particularly strong performance from our Canadian operations. We produce 122,000 ounces of gold at significantly lower costs from a year ago. Total cash costs $730 per ounce were down 11% in the third quarter of 2018, while all-in sustaining cost $950 [ph] per ounce were down 9%. With a solid performance in the first nine months of this year, we remained well positioned to achieve our full year production and cost guidance. Actually the combination of lower costs and higher gold price drove our operating cash flow is what changes as working capital to a new record of $80 million. Our internal growth projects continue to advance, which will drive further improvements in our financial performance. We are now about eight months away from starting to see the full potential of beyond the [indiscernible] operation, with the loan line expansion on track for completion in the first half of 2020. This will be a significant driver of free cash flow, starting in the second half of 2020. Alamos Gold continues to produce at a record pace and is well positioned to meet our or exceed the high end of our production guidance. The operation also generated record of free cash flow of $27 million in the quarter, bringing the year-to-date total to $55 million. We continue to see positive exploration results particularly in the area of new focus between the Main and Eastern Extensions. We already seen a substantial increase in the Mineral reserve resources since we acquired the operation in 2017, based on the ongoing success we're seeing this year, we expect the reserve and resource growth to continue and this will be incorporated into a Phase 3 expansion. In Mexico, we completed commissioning of the Cerro Pelon crusher and conveyor system this month, and have started cracking ore. We expected initial production later in the fourth quarter ahead of schedule. We're disappointed by the delays, we're experiencing in Turkey, but we're confident that our mining concessions will ultimately be reviewed. I'll discuss this in further detail during the call. But I believe the recent share price had a performance [Indiscernible]. I'll now turn the call over to our CFO Jamie Porter to review our financial performance.
Jamie Porter: Thank you, John. We have another very strong quarter from a financial perspective with year record revenues and record operating cash flow before working capital changes. Performance at our Island Gold mine continue to surpass expectations with record free cash flow of $27 million in the third quarter and $55 million in the first nine months of the year. Since we've acquired Island Gold at the end of 2017, the mine has generated $72 million of free cash flow, and that's net of all capital spending and a $32 million investment exploration. Revenue from the third quarter were $173 million from the sales 119,400 ounces at an average realize price of $1,448 per ounce, gold sales were 2500 [ph] ounces lower than our production in the quarter with those sales to benefit in the fourth quarter. Total cash costs of $730 per ounce and all-in sustaining cost of $950 per ounce were both in line with guidance. With similar costs expected in the fourth quarter we remained well positioned to achieve our full year cost cuts. Operating cash flow before changing the non-cash working capital is a record $80 million or $0.20 per share, marking the second consecutive quarterly record. This was driven by an 18% increase in the gold price and 11% decline in total cash costs year-over-year. Our reported net earnings of $80 million or $0.05 per share included unrealized foreign exchange losses of $7 million partially offset by their onetime gains totaling $1 million. Excluding these items, our adjusted net earnings were $23 million or $0.06 per share for the quarter. Capital spending totaled $66 million in the third quarter, this included $18 million of sustaining capital, $44 million of growth capital and $4 million of capital exploration. Capital spending is expected to increase in the fourth quarter of 2019, primarily driven by the deferrals of surface infrastructure projects at Island Gold originally planned for earlier in the year. Given lower spending at Kirazli we have reduced our full-year capital guidance by $50 million between $240 million and $265 million. We ended the quarter with no debt and approximately $202 million in cash and equity securities up slightly from the previous quarter, reflecting positive free cash flow generation. We expect a significant free cash flow growth starting in the second half of 2020. We doubled our dividend earlier this year and expect further increases as we start generating higher levels of free cash flow. In the meantime, we remained well positioned to fund our income growth initiatives. I'll now turn the call over to our COO Peter MacPhail to provide an overview of our operations.
Peter MacPhail: Thank you, Jamie. Our Canadian operations perform very well in the quarter. Starting with Young-Davidson production increased to 50,000 ounces of gold reflecting higher grades, consistent mining rates of 6600 tons per day. This marks a 10% increase in mining rates from a year ago and a 7% improvement year-to-date reflecting much stronger and steadier performance for 2019. The increased grades mines at lower unit costs drove 6% decrease in our total cash costs to $781 per ounce and 11% decrease in our mines at all-in sustaining costs to $960 per ounce from the first half of the year. Both were in line with our annual guidance. Also, we made excellent progress on lower mine development since we hosted multiple investor tours for the operation in June. The crushing and excavation is complete along with the installation of the chutes, steel and crane. Physical installation of the crusher is expected in December of this year. The ore passes from the upper mine which will feed the coarse ore bin crusher are over 60% complete with 100% completion expected by the end of the fourth quarter. And working around the 89-40 [ph] loading pockets now largely complete, including the Shaft bottom steel as well as ore and waste bins at the Northgate shaft. With activation work complete and mechanical installations underway, the construction schedule has been derisked. As previously guided the timing of the upper and lower mines will require the Northgate shaft to be down for approximately three months starting in March 2020 and in even June. While the Northgate shaft is down or from the upper mine will be tried to surface the processing at a reduced rate. Once completed we expect mining rates to ramp up to 7500 tons per day by the end of 2020. Given the lower throughput rates during the first half of the year we’re expected productions to decrease to approximately 150,000 ounces in 2020. Island Gold produced 36,700 ounces; a 67% increase compared to the third quarter of 2018. Milling rates of 1,115 tons per day were higher than mining rates as mill feed was supplemented with surface stockpiles. Total cash cost of $503 per ounce were at upper end of guidance and down 25% from a year ago, reflecting higher grades of mine. Mine-site all-in sustaining cost of $693 per ounce remain below annual guidance, reflecting lower sustaining capital in the quarter and year-to-date. We expect capital spending to increase in the fourth quarter resulting in higher mine-site all-in sustaining costs. We continue to see excellent drill results with our large exploration program at Island Gold. Since we acquired the operation in 2017, we've discovered initial -- additional 1.2 million ounces reserves and resources to the end of 2018. Given the ongoing successes we're seeing this year, particularly in the new area of focus between the Eastern and Main extensions, we expect our resources to go further with our year-end update. We're excited about the potential of this new area for a number of reasons. First, every hole we have drilled thus far has gold mineralization, with some very high grade results, including a 103 grams per tonne over four meters. Areas close to existing infrastructure, including the 840 level exploration drift, which will allow us to start growing from this area underground next year. Also, drilling is confirming this is all part of the same and this continue to close the gap between the high grade resources and the Eastern and the Main extensions. Exploration success and resource of growth we expect to see here and elsewhere will be incorporated into the Phase 3 expansion study of the operation. Results of the study are expected release in the first half of 2020. Mulatos produced 32,700 ounces, total cash costs of $866 per ounce and mine site all-in sustaining costs of $979 per ounce. Production costs were impacted by the winding down of production from by La Yaqui Phase one, as well as abnormally high rainfall in September over very short period, which temporarily restricted mining activities in the main Mulatos pit. The lower contained down to stack during the third quarter and the end of mining at La Yaqui Phase 1 are expected to impact the fourth quarter production with production expected to be in the same range as the third quarter. Offsetting this will be new production from Cerro Pelon, we have completed commissioning of the crusher and conveyor circuit and have commenced stalking ore. Cerro Pelon is our next higher grade high return deposits at Mulatos after La Yaqui Phase 1. La Yaqui phase 1 was a great success having produced 60,000 ounces over a two year period and generated $35 million of free cash flow net of its initial capital only $13 million. At our fully permitted La Yaqui Grande project, we continue to focus on completing detailed engineering and support the project design and economics. I'll now turn the call back to John for an update on the Kirazli project.
John McCluskey: Thank you, Peter. Earlier this month, we suspended the construction activities at Kirazli pending renewal of our surface mining concessions, which expired on October 13. It met all regulatory requirements for the concessions to be renewed and we expected the renewal before the exploration date. In the preceding months, we've received all the major outstanding permits required to build Kirazli increased our workforce nearly 300 and commenced major earthworks. We're disappointed with this delay and we're disappointed that we’ll call a delay in our construction schedule. But we believe that ultimately, the reaction to this has been overdone. Our mining concessions have not been revoked, nor have our permits. This is not uncommon providing concessions to be reviewed after the exploration date in Turkey, in fact the 550 mining concessions renewed since February of this year, nearly 60% were renewed after the exploration date. We believe the delay in the concession renewal is related to the recent protests, which followed a misinformation campaign on social media. We can successfully correct misinformation by outlining the facts. Alamos operates in an open and transparent manner. Doing right by all stakeholders wherever we operate is part of our core values. We’ve recently received the Best Corporate Social Responsibility Practice award in recognition of our long standing commitments to building and supporting communities in Mexico. We're proud to have been the only mining company in Mexico to receive this award. We think similar expectations in Turkey, where we have worked for 10 years to earn this important of local communities and the federal government. In that time, we have invested $25 million in the local communities with one of the most significant investments being the construction of the recently completed water reservoir, which will provide clean, drinking and irrigation water for the nearby communities well beyond the life of the mine. The local communities have remained supportive of business in Mexico -- partly in Turkey, even stage ins [ph] accounted for cuts in September, in support of the Kirazli project. The government has also been supportive and we continue to engage with Canadian and Turkish government officials work towards a positive resolution. We’re confident our mining concessions will be renewed given the ongoing support of both government and local communities. We have been granted all major permits required to build Kirazli and we've met all the conditions for the concessions to be renewed. Following the renewal of the concessions resumption and construction, we will provide updated guidance on the construction schedule, and budget for Kirazli. I'd like to close the presentation by highlighting where we stand on valuations given our recent share price under performance. To-date Philly [ph] and Kirazli is more than priced into the spot. If you would remove the entire average analyst value for all of our Turkish assets from our valuation, we are still trading at a 30% discount for our peers. Given the quality of our existing mining operations in Canada and Mexico, which supports the majority of our mine valuation, we believe this discount is unwanted. This concludes the formal portion of our presentation. And I'll turn the call back to the operator to open the line for your questions. Thank you.
Operator: Thank you. [Operator Instructions]. And the first question is from Fahad Tariq from Credit Suisse. Please go ahead.
Fahad Tariq: Good morning. Thanks for taking my question. On Kirazli what are the discussions -- like what are the topics of discussions with the Turkish Department of Energy and Natural Resources? And I'm just trying to get a sense of the maybe the sticking points. Is it a matter of the government waiting until the some of these protests and the challenges to the mine cool off or is there something more that the government is asking Alamos to do, for example, maybe more environmental commitments or something to do with the reclamation after the mine closes? Any color on that would be really helpful. Thank you.
John McCluskey: Thank you, Tariq. The government isn't asking any more from the company than we've already done. And it’s important to note that at this point we paid in excess of $10 million in forestry fees, which is substantially more money than it would take to reclaim the area. So, the government is more than satisfied that we’ve been meeting all of our commitments and frankly, the bar is set very high in Turkey. Also worth noting that, years before we begin started the reports on the project, we’ve been involved with planting trees in the area, we’ve planted in excess of 14,000 trees in this area. So, I think the government is satisfied that we have a strong commitment to the environment. So, there’s nothing additional being asked to the company. They are indeed monitoring the whole, call the activity going on in social media, and I'm have to report that we pushed that a long-long way from where we started in August, in terms of setting the record straight and by this point, there is much social media commentary in favor of the company, a terrific instance. You’ll never get the negative commentary all together, so this is actually quite a strong comeback from where we started, the campaign was initially kick-out, there’s also some of media comments which running against the company, and that was because so much of the information coming from the NGOs and opposition parties were just based on all propagations. It takes sometimes to put a genie let back in the bottle, once the activations that they’ve made and widely spread, it takes some time to push back on that. But, by this point, it’s clearly, we had that’s a great deal of success on that front and as far as activity in Kirazli itself that is really come way-way back from where it was in August. So, they are monitoring these kind of things and they’re helping their intention to sort of time the renewal of our concessions with the waiting of this protest.
Fahad Tariq: Okay, thank you. And just a quick follow-up, the counter-protest that you sited in late September, who kind of organized or led that like, was it, like who is really involved, was it community members, another NGO, government members?
John McCluskey: No, as we’ve said in the commentary, the counter-protest was organized by the local communities themselves, there was no involvement by the company and there was no involvement from anyone outside of those local villages. And that’s very different from the protest that were held by a gate which was essentially all from outside, like majority of the people from outside of the province of Kirazli. The leaders of the local communities have been strongly supportive of our project. We’ve been hiring many-many people, hundreds of people onsite from those local communities, and we’ve been engaged with them over the last 10 years. We just didn’t show up last week, we’ve put a lot of effort into building and maintaining a relationship based on trust. We’ve spent a great deal of time educating them on exactly what this project entails and how we would go about developing it, mining it and ultimately reclaiming it. Their support was very hard one, it was several years of effort before we were confident that they are comfortable with us to give us their support. But once we’ve secured it, I’ll say that they have -- they stood by in a very sense of manner against and tremendous sort of influx of outsiders and media, both social and more broadly speaking perhaps on television and so forth, coming into area and really causing quite an upset to their daily lives. And these community leaders managed to get about 300 people to travel about 40 kilometers to that’s the capital and to hold the protest at the city hall. And they presented a petition, with I think was over 1000 names on that petition and all from the local communities, asking the mayor to essentially [Indiscernible] from the protest that he decided. So this is the source of the support and it's very strong support. And I think it goes a long way to convincing the federal government that the company has been doing the right thing for a long, long time and we're on the right track as far as the open projects.
Fahad Tariq: Okay, thank you.
Operator: Thank you. The next question is from Cosmos Chiu from CIBC. Please go ahead.
Cosmos Chiu: Hi, thanks, John, Jamie and Peter. Maybe moving on to Canada here. Good to see that Young-Davidson you've been able to get to 6600 tons per day in terms of throughput underground, higher than what you had targeted. Maybe Peter, could you remind us how you were able to get to that higher throughput the underground mining rate. And does that -- is there any kind of read through to the lower mine and the potential to lower mine?
Peter MacPhail: Yeah, hi Cosmos. Thanks for the question. We spent a fair bit of time over the past year and a half or so, improving the operation looking at efficiencies or movements through the pass system, we've added some passes. If you recall, a year and a half ago, we had some challenges with those the upper mine passes. It really, it's just executing on all of those operational improvements put in place over the last year. So it's all come together and it's you can see it in the kind of state performance we see on a quarter-by-quarter basis but also on a month-by-month basis we don’t see any fluctuation.
Cosmos Chiu: And then in terms of the lower mine, you're saying that will get you to about 7500 tons per day exit rate in year 2020. How should we look at it, is it going to be some kind of straight line ramp up in the second half of 2020. Can you remind us how we should model it?
Peter MacPhail: Yeah, I think that would be right, we probably come out of backup again, again where we left off and ramp up to that 7500 tons a day rate by the end of the year.
Cosmos Chiu: Yeah. Okay. And maybe turning to Island Gold here, you did about slightly less than 1000 tons per day in underground mining in Q3. There was a change in contractor and whatnot. Could you remind us again, in terms of, now that you have the permit for the 1200 tons per day at the mill, what would you need to do to get to 1200 tons per day down underground to get up to that kind of mining rate?
Peter MacPhail: Yeah, I guess, we -- if you look at where we were last year, we're about at 850 tons per day. So we're up to just over 1000 tons a day year-to-date now for the 15% increase. And we see that kind of rate of increase is continuing through here through the fourth quarter of this year and into next year. Absolutely 1200 tons a day is what we’re permitted for and we would expect to get there in pretty short order.
Cosmos Chiu: And then I know you're working on the Phase III expansion on different alternatives. Is there anything else you can share with us at this point in time in terms of what you might be looking at, to get beyond the 1200 tons per day?
Peter MacPhail: Yeah, I mean, we’ve -- so first of all, there's a number of moving parts one is this a resource, we keep finding more gold which is an interesting problem to have in the middle of all of this. And where it is, it is actually for all purpose it's higher up in the mine and the stuff that we would have reported on a year ago. So it's pretty exciting new area for us. We ramped up from, if you go back a couple of years there about 800 tons of days, they went to 900 they were at 1100 thousand heading to 1200. The next step would be step and we're looking at a number of different options. And we'll see where it takes us. I hate to give you a number because we're working through it.
Cosmos Chiu: For sure. Maybe switching gears a little bit, maybe a question for Jamie here. I'm just trying to reconcile the CapEx guidance for 2019 versus what you've done so far, year-to-date. Seem to be getting your numbers that are running higher or even like over the highest end of your guidance here, for example, Young-Davidson I think you are saying $73 million in terms of what's been spent the first nine months, your full year guidance is $80 million to $90 million. When I'm seeing that for Mulatos and Island Gold, what am I missing here because I think in your commentary later on you say Island Gold got to ramp up in terms of CapEx in Q4. Is it capitalized exploration of what could you help me reconcile the two numbers?
Jamie Porter: Yes, I think capital, when it comes to Island it's like we capitalized exploration that the difference. If we go on an asset by asset basis why we’ve invested about $73 million year-to-date, the current range was $80 million to $90 million for the year we've seen some overrun. So I expect will be just north of that $90 million by end of this year. Island has way under spend their capital this year. And so we are expecting and that's part of the reason why you’ve seen our all-in sustaining costs come in well ahead of guidance throughout the first three quarters of the year. We will see that increasing in Q4 and I'm not sure that will actually be able to get all that capital spending done this year. Some of it is likely to bleed [ph] in Q4. Sorry, they’re likely to bleed into Q1, there is a lot of we've been building a new mine [Indiscernible]. I think we remain effectively on schedule there, which shouldn't be -- if anything, I think we're ahead of schedule in terms of our capital spending [Indiscernible].
Cosmos Chiu: So how should I look at it, Jamie, in terms of those on page three in your MD&A, it's $44.2 million of Island Gold. As you said, the full year guidance is 50 to 60. So what number should I use to compare to your 50 to 60 guidance for 2019?
Jamie Porter: So the number that you're referring to in the MD&A, the 44.2 includes $11.7 million of capitalized exploration....
Cosmos Chiu: I got you. Okay.
Jamie Porter: That would be comparing apples to apples.
Cosmos Chiu: So subtract out 11.7 I should be able to get your number that I can compare to your 50 to 60?
Jamie Porter: That's right. Yeah, that would show us so on sustaining we spent 18.4 grow 14.1. So, a little shy or just sorry, just north of $32 million to-date, and that's what you're comparing to the 50 to 60.
Cosmos Chiu: Great. And then maybe one last question here moving to Mexico. Clearly there's been some impact in terms of heavier than expected rain. I just want to confirm this is more like a deferral of ounces, like, if I look at it, you're saying it's stocking there's a leech curve. So, if I, again, look into say, 2020, in Q1 2020, it's, maybe, can I say it's a deferral of ounces from 2019 into potentially higher ounces in year 2020?
Jamie Porter: It's a deferral of ounces, Cosmos. It's really, we got pushed around a little bit in our mine plan, we had to go mine in other places because of some bottom of pit. We can access the bottom of the pit for a period of a couple of weeks. So, it moved us around, but those ounces are still there, and we're mining them now.
Cosmos Chiu: Great. Thank you. That’s all I have. Thank you.
Jamie Porter: Thank you.
Operator: Thank you. The next question is from Kerry Smith from Haywood Securities. Please go ahead.
Kerry Smith: Thanks. Peter, just on Island, the last four quarters you've been running about 1100 tons a day, mine underground and obviously milling consistently more than that. So how much do you have left in the stockpiles? Like how long can you continue to mill more than you mine? Or are you expecting in Q4 that the mining rate is going to push up enough to actually meet the mill requirement?
Peter MacPhail: So I think in the third quarter, we might be milled just over 100 tons a day more than what we might. And that really -- that actually brought the stockpiles pretty close to [Indiscernible]. So it's -- and we expect to build the mill from the underground mine and always would.
Kerry Smith: Okay, okay. So stockpiles basically done on a go forward basis. The miner [Indiscernible] mill. Okay. Great. That's helpful. And just on the hedging, maybe John and Jamie, is there any, I know you have some hedges now through this first six months of 2020. Is there any plans to add any more hedging through the course of Q4 into Q1 or have you kind of got to the point where you're happy with the hedge book?
Jamie Porter: Kerry, it's Jamie, we -- yeah, if you look at, I mean, how its impact in the third quarter producer realized price by about $24 an ounce, we'd expect to have same in Q4. These were hedges that we put on early part of the year, we have less than 10% or just slightly 1 of 10% of our production hedge for 2020 at a floor of 14 and 33 and with upside to 16 and 35. We might look to put on a bit more but we'd be talking about 20,000 to 40,000 ounces and we'd be talking about a color range that’s nowhere near where we are currently, that was the upside being $100 to $150 higher than the current spot.
Kerry Smith: Okay, so that's likely to happen before you were like sometime this year or that be a next year event?
Jamie Porter: We haven't decided yet, Kerry. What we look at it on a daily basis based on the price.
Kerry Smith: Okay.
Jamie Porter: And yes, I mean the key thing is that we've our hedging strategy is all short term inside of 12 months and the majority of it's all within six to nine months.
Kerry Smith: Okay, got you. Okay. So I was trying to get I was going to be pushed out further or not. And just on maybe Peter can answer this, just on La Yaqui Grande when would you actually expect to have the board approved construction and actually start construction Peter or have you got there yet?
Peter MacPhail: I think we'll be able to say something in our - probably in our guidance release about that.
Kerry Smith: Okay, which would be in January, I guess then?
Peter MacPhail: Yes, when we put it out.
Kerry Smith: Okay. That's great. Thanks very much.
Operator: Thank you. The next question is from Mike Parkin from National Bank Financial. Please go ahead.
Michael Parkin: Hi, guys. Most of my questions have been answered just one on Island. Meters developed that came down a little bit with Q3 at 1200. What do you see that kind of, I've known historically, there's always more development being done than what’s really necessary and the amount of tons kind of coming up the ramp that was developed versus or meant for the mill was more heavily weighted towards development, if I recall correctly? Where is that going to kind of does that going to sustain at around 1200 or potentially drop off a little bit more as you open up the deeper portion of the mine more?
Jamie Porter: Yes, we were a little later in the quarter Mike, we I don't know, if you notice we changed our development contractors. We’re into that in the press release. And while we’ve one was evolving, the other one was moving and there's a period of probably six weeks where we had no contract development ground just our own forces. We do two thirds of the development with our own workforce, and we have a contracted it, that you can turn them on and off, and that's why you have a contractor to get the peaks and deal with the valleys. So, we would expect development, we need to continue to develop that kind of our range you would have seen in the first half of the year, so that'll come back up a bit.
Michael Parkin: Okay. That's also explains why some of the CapEx will be a little higher in Q4?
Jamie Porter: That, would that’s -- that correct.
Michael Parkin: Okay. That's it for me, guys. Thanks so much.
Operator: [Operator Instructions] And the next question is from Lawson Winder from Bank of America. Please go ahead.
Lawson Winder: Hello, everybody. Thanks for taking my questions. John, thank you for your comments on Turkey, those are were very helpful just to sort of small follow ups on that for me. I mean one, you may not want to do this a bit risky. But I mean, could you maybe handicap what sort of timeline you're thinking before this gets resolved. Are you thinking sort of like any day now, months or quarters? And then just as a follow up to what should we think of roughly in terms of holding costs well, there's no construction activity happening at the site? Thanks.
John McCluskey: To address your last question, first, I would them -- right now our costs [Indiscernible] in Turkey are about a $1 million a month. We would love to start to bringing back those costs to some extent, if we don't see any progress with respect to the medium licenses getting renewed. It's almost impossible to guess when our licenses will be renewed. Anything I'd like to say would be a guess. It's a political decision, it's nothing other than that. So -- and it's really quite binary, well, they haven't reviewed it, there's, nothing we can really do and when they do renew it, we can get back to work at full force. So, it really doesn't help anybody to me to guess, because it's just a meaningless comment, I wouldn’t be making. But we are looking very closely at our holding costs. And if we don't see some movement in the next weeks with respect to getting along and to get back to work, we will be taking steps to reduce costs from the current levels.
Lawson Winder: Okay, I appreciate you being so candid there. And then Jamie, just one question for me for you. The tax rate at least versus being was a little high in Q3. Can you provide any guidance for Q4 as to what you might be expecting there and the effective tax rate, to the income statement?
Jamie Porter: Yeah, the effective tax rate is highly dependent on foreign exchange rates that has an impact on our net deferred tax liabilities. All being equal, you'd assume a 35% to 40% effective tax rate. But again, highly variable dependent on where the Canadian dollar Mexican peso fit at the end of the year.
Lawson Winder: Okay, fair enough. Thank you.
Operator: Thank you. The next question is from Sherry Deng from Scotiabank. Please go ahead.
Sherry Deng: Good morning, guys. Thanks for taking my call. Most of my questions are already answered. Maybe just one follow-up on Turkey. So in relations to the NGOs and opposition parties, since you've halted construction, do you see them gaining momentum or dying down or and since you made an effort to educate them about the asset, how has the reception been? Also, what are they demanding, is there a chance to meet them in the middle?
Jamie Porter: First of all, we're not educating the opposition or protesters. They went into this with their eyes wide open their efforts at misinformation were really quite deliberate. They knew the fact and they published something else. So the effort to reach out to correct that narrative and put facts into the public discourse, it was really to reach beyond those that was committed to this sort of anti-mining expense. And in other words the greater public within Turkey who were picking up on all these misinformation either true, wherever they source it online or through the press where they filtered into the popular press. When people started to realize that all those allegations that they've been hearing earlier were just patently false. And, of course, many of the worst of those could be verified by simply looking at a map. Once that sort of happened then the that broad based support the opposition initially enjoy, it rapidly veined. So there is nowhere near the level of protests against our project that there wasn't initially. The government is always feared that this was just the tip of the iceberg that the opposition was really going after something much profitable. And that is all natural resources and forestry within the country. And it's at a point in time where the ruling party would be coming off some pretty serious losses in the mayoralty [ph] elections in the spring. And, then they were feeling quite vulnerable. And so politics in Turkey is really rather topsy-turvy. It's something that you can find yourself quite inadvertently pulled into and knocked around by. But that's just for a period of time. I think ultimately the federal government has a serious policy for seeing natural resource development. And that is very responsible in that natural resource development within Turkey. And that they see that as a key way of helping diversify and expand the Turkish economy, and they've never backed off from that. So from that perspective, we feel we're part of a much bigger story with respect to the ongoing growth and development of the Turkish economy. And we think hopefully that will be the story that prevails. Currently we’ll eventually go into production. There's no doubt in my mind.
Sherry Deng: Thank you for the color, that's all for me. Thank you.
Operator: Thank you. Your next question is from Kerry Smith with Haywood Securities. Please go ahead.
Kerry Smith: Thanks, operator. Jamie, maybe I can just follow-up or John, just on Turkey, as I remembered when you put out the press release on the renewal of the permit, I think at the time, you'd said that you thought you'd spend $5 million to $6 million in Q4 and then the holding cost should be a million a month thereafter. But John's comment was sort of suggesting it was a million now. So I was just wondering if you've accelerated that 5 million to 6 million, it's all been spent, or maybe that number was a bit conservative, and that wasn't really the real number?
Jamie Porter: I suspect we were being a bit conservative, but I'm trying to give you an accurate an estimate if I could provide on the call here, but I don't think there's any material difference between the estimates I provided and what's actually happening.
John McCluskey: Yes, I think the only difference there Kerry would be we would have had some carryover accounts payable is standing from construction to reservoir that we would include in that $5 million to $6 million, so our ongoing kind of operating costs for salaries and maintenance for operations. There are about a million dollars a month.
Kerry Smith: Okay, so has that $5 million to $6 million number actually been spent already then, Jamie?
Jamie Porter: No, that was the forecast for the entire fourth quarter. So the 1 million in our operating costs per month plus an incremental $1 million to $2 million in carryover accounts payable.
Kerry Smith: Okay, got it. Okay, I understand. And just maybe if I can follow-up again on the contract that you got into at Island is, I'm not sure how long he's been there. It sounds like you got him in the quarter. Have you been there long enough to get a sense whether he's going to be able to deliver the meters that you need or how is he performing?
Jamie Porter: Yes, they always start a little slower than you like, but they're ramping up and they're making the meters now, Kerry.
Kerry Smith: Okay, that's great. Thank you very much.
Operator: Thank you. There are no further questions at this time. This concludes this morning's call. If you have any further questions that have not been answered, please feel free to contact Mr. Scott Parsons at 416-368-9932 extension 5439. Please disconnect your lines at this time and we thank you for your participation.